Operator: Good morning, everyone and welcome to Docebo Q1 2023 Earnings Call. All participants are currently in listen-only mode. We will open the line for a question-and-answer session for analysts following the presentation. Instructions will be provided at that time for research analysts to ask questions. We ask that analysts please limit themselves to two questions and return to the queue for any follow-ups. I'd now like to turn the call over to Docebo's Vice President of Investor Relations, Mike McCarthy. Please go ahead, Mike.
Mike McCarthy: Thank you, operator. Before we begin, Docebo would like to remind listeners that certain information discussed today may be forward-looking in nature. Such forward-looking information reflects the company's current views with respect to future events. Any such information is subject to risks, uncertainties and assumptions that could cause actual results to differ materially from those projected in forward-looking statements. For more information on the risks, uncertainties and assumptions relating to forward-looking statements, please refer to Docebo's public filings, which are available on SEDAR and EDGAR. During the call, we will reference certain non-IFRS financial measures. Although we believe these measures provide useful supplemental information about our financial performance, they are not recognized measures and do not have standardized meanings under IFRS. Please see our MD&A for additional information regarding our non-IFRS financial measures, including for reconciliations to the nearest IFRS measures. Please note that unless otherwise stated, all references to any financial figures are in U.S. dollars. Now, I'd like to turn the call over to Docebo's CEO, Claudio Erba.
Claudio Erba: Thank you for joining us for our first quarter earning call. With me today, Alessio Artuffo, our President and COO; and Sukaran Mehta, our CFO. I will start my comments this morning with a brief high level summary of our results. We are pleased to report revenue growth with March quarter results coming in at the upper end of our guidance range, up 32% on a constant currency basis. Our profitability exceeded our guidance with our adjusted EBITDA margin reaching 5.3%. As Docebo expand its reach we saw a wider customer base in Q1 across various industry and learner types. Our platform versatility allows us to take advantage of global opportunities across use cases. In terms of regions, our business has a good mix and we are happy to see our investment in new European markets gain momentum. We closed some of our largest enterprise deals in Q1 with companies in Germany and France, including the major transportation and logistics solution provider that operates in over 160 countries worldwide. From a product perspective, our generative AI based content creation model, Docebo Shape, maintained its performance from Q4 and achieved high attachment rate in Q1. Docebo offers AI technology that is essential to delivering distinct learning solution. Over the past four years, our work in AI has enabled us to fine tune our offering in data model, particularly in content automation and embedded search with leveraging multiple languages. As customer data moves through the LMS, announcement to our product will ensure every learning journey is hyper personalized. This is in turn boost productivity for our customers. Furthermore, we are continuing to announce our AI control panel that will give our customer authority on how their internal company data can be used. The management of proprietary data is an important requirement for enterprise customer and the Docebo debug technology is built around this key need. As we look at the broader operating environment, we continue to see longer deal cycle, especially in the enterprise segment. We are pleased that in the phase of such headwind, we have largely executed our growth strategy and are positioned to deliver revenue growth with stable and improving profitability as we move through this year. Looking forward, our main goal is to grow the company effectively no matter what the economic condition may be. We are also focused on improving operational efficiency. At the start of this quarter, we took actions that we believe will optimize the performance of our organization. A key aspect of this involved flattening our organizational hierarchy, which allow for faster decision making closer to the customer. By streamlining processes and reducing middle management layer, we are better positioned to quickly respond to customer need, drive innovation, and foster a culture of high performance. Regarding our capital allocation, our strategy remains focused on tuck-in deals that support two principles. First, we seek great adjacent products and features that support our build versus buy needs. Second, we look for innovative team that builds the Docebo culture. Shortly after the end of the quarter, we announced the acquisition of PeerBoard. This acquisition aligned with our strategy of seeking out great technology that complements Docebo core offerings while also adding engineering talents to our team. With the community learning assets, PeerBoard brings we are materially trending our customer and partner training use case as we bring this community learning features to growing number of enterprise customer [indiscernible]. In regard to future M&A opportunity, we will evaluate each option based on each potential to address multiple use cases that leverage our increasing use of AI. This will enable us to deliver new innovation in area such as hyper personalized learning, sales enablement, re-skilling and up-skilling. In conclusion, although the microeconomic environment might continue to be challenging, we are very pleased to take advantage of opportunities that provide sustainable balance and growth. Our emphasis on growth combined with operational efficiency and adherence to stricter more demanding performance standard will always set to stranded our position as a clear win that's emerging from these economic cycles. Now, I would like to turn the call over to Alessio, who will give you an operational update.
Alessio Artuffo: Thank you, Claudio. And good morning everyone. In quarter one, our company-wide average contract value or ACV, increased 7% to $47,000 from approximately $43,800 at the end of the first quarter of 2022. ACV for new customers in the quarter was approximately $50,000. During the quarter, we signed 112 net new customers including several valuable enterprise deals. This is reflected in our continued growth in annual contract value, ACV. Customers continue to derive a measurable value from the learning platform, particularly in multiple use case environments. Notable customer wins in quarter one include Vimeo platform for innovative video experiences. Vimeo has chosen Docebo to help with their compliance, professional development and onboarding needs. Docebo also partnered with Terex Corporation, a global manufacturer of materials processing machinery and aerial work classes. Terex chose the Docebo to address their customer and partner training needs, as well as onboarding and professional development for their employees. In addition, the Docebo learning platform has been selected by Freedom Mortgage, one of the largest full-service mortgage companies and a top Veterans Administration, VA, and Federal Housing Administration, FHA, lender in the United States. Freedom Mortgage chose Docebo for multiple internal and external use cases. In Europe we landed one of our biggest enterprise deals in the region when we signed a large French-based transportation and logistics solutions company operating in over 160 countries, who partnered with Docebo to address a combination of internal and external learning use cases that include customers, partners, and employees. Finally, in Germany we signed the deal with Knauf Gips KG, one of the world’s leading manufacturers of construction materials for interior design, building insulation, and design ceilings. Knauf Gips KG chose Docebo to address multiple internal and external learning use cases, including sales enablement and retail, customer, and channel partner training requirements. It is important to note that Germany and France are large and important new markets for Docebo. We are very pleased to see our early investments in this country continue to build momentum with these large enterprise deals.  It’s important to note that the companies partnering with Docebo have diverse needs for training both internal and external learners across different industries. When viewed together, this demonstrates the broad horizontal appeal of our solutions. Despite economic challenges and longer deal cycles Docebo executed effectively and invested in supporting future business growth. Though deal elongation remained consistent in the quarter, it did not worsen and Docebo navigated well to deliver healthy growth. This highlights the company’s resilience and ability to adapt to the changing business environment, while staying focused on its growth objectives. In his previous comments, Claudio discussed actions we have taken to improve operating efficiency and to hold ourselves to more demanding performance parameters. Allow me to elaborate on these actions and provide further context on what we’re doing. Our sales and marketing focus is on operating more efficiently as we move forward. We examine our cost of customer acquisition, CAC, lifetime value to CAC and other leading indicators that drive these results. Although we don’t judge performance based on a single quarter, we will make adjustments necessary to achieve higher growth combined with better CAC efficiency. As you may recall from the previous quarter, we have invested in technology, systems and processes to gain operating leverage. This has enabled us to operate as a more leaner organization and at the same time eliminate non-productive layers of management. We have also optimized our inbound and outbound lead generation engines. These actions aim to strengthen our pipeline coverage and support our most productive sales executives. Back in March, I concluded my prepared comments by sharing two reasons why we are excited about 2023. These reasons are unchanged as we position Docebo for the future. First, our market is vast and present numerous greenfield opportunities, particularly when considering the external learner. As the leading platform for customers with multiple use case needs, internal employees and external learners, Docebo is a trusted partner for consolidation of tech stacks and delivering better returns on invested dollars for our customers. And second, we are making the strategic investments necessary in both innovation, and systems, processes and people that are needed to continue to disrupt the enterprise landscape. Partnerships like ELB and acquisitions such as PeerBoard are making a strong Docebo even stronger. With that, I would like to hand the call over to Sukaran.
Sukaran Mehta: Thank you, Alessio. And good morning everyone. For those interested, a detailed breakdown of our financial results for the three months ended March 31, 2023 can be found in our press release, MD&A and financial statements, which are now available on our website and are also filed on SEDAR and EDGAR. As reported, total revenue for the first quarter grew to $41.5 million, an increase of 29% from the prior year. Total revenue increased by 32% after adjusting for the impact of foreign exchange. Subscription revenues were $38.8 million, representing 94% of total revenue for the quarter. Annual recurring revenue was $164.9 million, an increase of 29% after adjusting for the foreign exchange impact from the strengthening of the U.S. dollar. We added 112 net new customers in the first quarter, as we ended the quarter at 3,506 customers, an increase of 19% year-over-year. Average contract value was approximately 47,000 for the first quarter, an increase from 46,000 for the fourth quarter of 2022 and a 7% year-over-year growth. We continue to see Docebo being adopted as multiuse case platform with almost 80% of our customers using Docebo for two or more use cases and 55% of customers using Docebo for three or more use cases. Gross retention was flat compared to the prior quarter and net retention declined modestly in Q1 driven by lower fee and module expansion. Gross profit margin for the first quarter improved by 120 basis points year-over-year to 81% of revenue and was consistent with the prior quarter. Total operating expenses for the first quarter increased to $33.8 million from $32.4 million for the prior year period. G&A as a percentage of revenue declined to 18.2% for the first quarter compared to 19% for the fourth quarter of 2022. Adjusted for one-time acquisition cost, G&A was 17.6% of revenue. As we go forward this year and next, investors can expect that G&A is an area where we will demonstrate the highest operating leverage. Sales and marketing expense as a percentage of revenue was 40.5% for the first quarter as compared to 39.8% for the fourth quarter, mainly due to higher seasonal payroll taxes in Q1 of each year. The streamlining actions Claudio and Alessio spoke to earlier occurred at the start of Q2 with a headcount reduction of approximately 5%, and this primarily is related to sales and marketing and G&A. There will be a partial impact of savings in the second quarter, but the full impact of savings shall come through in the third quarter. Currently, investments in the first quarter were $7.4 million or 17.8% of revenue and increased from $6.4 million from the first quarter. The sequential increase was primarily as a result of the strengthening of Euro. Moving on from the expense line, even with the fewer revenue base and with seasonally higher social taxes, we are pleased to report upbeat in our adjusted EBITDA performance to $2.2 million for the first quarter of 2023. This equates to an adjusted EBITDA margin of 5.3%, which is up 9% compared to the prior year. Reiterating what was said in March, we are deeply committed to driving growth and performance in the areas we can control and expect to exit Q4 2023 with a low double-digit adjusted EBITDA margin. We reported net income of $1.2 million for the first quarter of 2023 compared to $7 million net loss for the first quarter of 2022. Adjusted net income for the first quarter of $3.2 million increased compared to a net loss of $1.3 million for the first quarter of 2022. We generated negative free cash flow of $2.3 million in the first quarter, which was driven by the timing of annual bonus, prepaid insurance and software expenses in Q1. At the end of Q1, we held cash and cash equivalents of $216 million. Share-based compensation accounted for a modest 3.1% of first quarter revenue compared to 3.4% in the first quarter of 2022. In April, 2023, the company acquired PeerBoard, a plug-and-play Community-as-a-Service platform for a total purchase consideration of $4 million. We do not expect the acquisition to maturely impact the fiscal year 2023 revenues or adjusted EBITDA. Now for our Q2 2023 outlook, we are operating in a difficult macro environment with deal elongation similar to the second half of 2022. Our guidance is based on the assumption that current unfavorable macroeconomic conditions will continue. We expect total revenues to range between $42.9 million and $43.2 million. We expect gross margin to range between 80% and 81%. We expect adjusted EBITDA margin to range between 5.5% and 6.5%. A few noteworthy points on the second quarter guidance, we expect subscription revenue to be 4% to 5% points higher than the overall company revenue while professional services revenue will decline sequentially due to lower customer adds. During the second quarter, we expect to incur approximately $3.5 million in one-time charges related to the organizational streamlining initiative that we discussed earlier. This is not reflected in the adjusted EBITDA margin guidance. In conclusion, I want to focus your attention on a strategic point that is foundational to Docebo DNA. Growth is always our top priority, and we have equipped our team to deliver good profitable growth regardless of where we are in any economic cycle. I also want to emphasize that we are bringing material competitive strength to bear as we execute this profitable growth strategy. First, we have a strong debt-free balance sheet with $215 million in cash. Second, we have delivered profitability ahead of our schedule and are steadily improving adjusted EBITDA and free cash flow every quarter. What is most notable about this performance is that we are realizing these results without compromising key investments in sales and marketing and R&D. And third, dilution from stock-based comp is one of the lowest in the SaaS universe today. We are dedicated to aligning our team's performance with the expectations of our shareholders. That concludes my prepared remarks. Operator, please open the line so that we can take some questions from the analyst.
Operator: Thank you. Ladies and gentlemen, as stated, we will take questions from analysts. [Operator Instructions] Thank you. Your first question will be from Robert Young at Canaccord Genuity. Please go ahead.
Robert Young: Hi, good morning. The two questions, first one, higher level during this reporting cycle, those a bit of concern raised around the negative impact of AI on e-learning and given that you’ve been on – working on AI for a long time and have products in the market. I thought you’d – it’d be great to get your thoughts on the near-term impact you see positive or negative from AI on Docebo.
Claudio Erba: Hello, Rob, Claudio speaking. First of all, I think that if I was a publisher, I will be very scared on the impact of AI because I mean AI will build considering content on its own, but do not forget that the LMS is a delivery system that now is also becoming a content AI driven generating system. So that’s why I’m incredibly excited about AI because I mean, Shape is becoming the competitor of the companies that have been punished [ph] this quarter by this AI move because the Shape is the content generating system, and we are adding features. Let’s say I think that AI is not only limited to content and for example, we are embedding in Docebo a skill matching system that will integrate all the talent management and ATS and skill management system inside Docebo through a matching system where AI will synchronize the skill ontology of all the platform out there with Docebo allowing the customer to use their own ontology inside Docebo. On top of that, and I understand it’s not very sexy, but what we are working is an AI control panel that will give the customer full control on how the AI will use the data. Before implementing every AI strategy, we need to be very careful on how we do it and be completely aligned. We don’t the compliance is all over the world the regulation are different between Europe and North America. So AI is a broad topic, but it’s a topic we love because it is allowing Docebo to experiment a new way to train people and go over the 20 years old, very boring click and lick training approach, adding simulations, adding new way to interact with the content, hyper personalizing the content based on the user learning style. So I will see AI as a trick. I see AI that personally makes me excited, and from a Docebo standpoint, it’s something we will benefit a lot.
Robert Young: Okay. Thanks for all that. Second question from is more specific to the quarter. I mean, the incremental amount of ARR added and the incremental customers added were lower than we’d seen before, and so if you could talk about that particularly the cadence through the quarter was that the regional banking crisis at the end of the quarter, and so should we – when we look at how to model ARR, should we thinking of most of the deals coming at the front of the quarter or the back of the quarter is spread evenly. Just any comments there on the slower amount of customers added in the cadence? I’ll pass line.
Alessio Artuffo: Rob, Alessio speaking. Hello. Rob, Q1 does have some seasonal component built within and in addition to that, we’ve experienced the results some of the macro noise, banking noise, challenges in the North America region, particularly affecting the small and mid customers. With that said, I’d like to draw your attention to two facts. Number one, we have increased an average ARR and new logo ARR both ACV. And in addition to that, our growth retention rates have remain consistent with quarter four 2022. So with that said, we have work to do to reboot the performance on the small and mid-market, but our pipeline growth that that we’re seeing and experiencing makes us extremely confident.
Operator: Did that answer your question, Mr. Young? Thank you. Next question will be from Josh Baer at Morgan Stanley. Please go ahead.
Josh Baer: Great. Thank you for the question. I was hoping you could expand a little bit on the efficiency actions and headcount reduction reference in the prepared remarks. Just wondering if they were previously contemplated in the prior forward commentary on margins.
Claudio Erba: Claudio speaking, I provide the first part of the answer, and I think that Sukaran can go deep on that. From the entrepreneurial perspective, I founded the company and I found frustrating that the great ideas that come from the field contributors in term of everything, products, methodologies, M&A and so on and so on, were started in the middle of the organization because there was the sign that – there was too much bureaucracy and too much communication channel broken between executives and high level managers and contributors. Contributors are the foundation of the company. So what I'm impressed was, let’s – let the organization – let’s stay more in touch with the team, let’s fluidify the communication reducing the layers. So from an entrepreneurial philosophy perspective, this is the reason of this action. But I will leave the rest to Sukaran that we can articulate better from his point of view.
Sukaran Mehta: Yes. Thanks, Claud. Good morning, Josh. I would say that, to start with, we regularly review the operating efficiency of the organization and I think part of the efforts this quarter, there’s a couple of factors. One is we – as you may have noted in the last quarter, we implemented some significant technology investments that went live in our CRM and our order to cash process that gives us some opportunities to streamline and make our organization efficient. So to that extent, that is – that was factored in, but I would say there is incremental efficiencies that we have implemented in the – at the start of this quarter, which is April to make the organization leaner and more efficient. And so I would say there is an element of – a reasonable element of that cost that will be more – not in the ecosystem specifically in sales and marketing and G&A.
Josh Baer: That’s helpful. And just any sense for what the plan is for headcount growth in 2023 incorporating these actions?
Sukaran Mehta: Yes. So when we think about headcount, you think about mostly – if I kind of break it down between the various operating lines as we grow customers, we still look at making sure that from a services – sorry, just from a customer support and enterprise support perspective, we have the right infrastructure as we are growing a book of business. So we’ll see some incremental hiring there. And then generally, we – across the board, what you will see is this year is, it will be some tactical investments in R&D as we are investing, Claudia, spoke about from an AI perspective and other areas, but overall you should expect us to be net neutral slightly higher, but in terms of the hiring mostly flat across the board and sales and marketing and G&A is where you’ll see significant efficiencies.
Josh Baer: Great. And just one quick one on the opportunity side, sounds like a lot of interest in Docebo Shape. Just wondering if like a customer, for example, is spending a $100 annually, what happens to that annual contract value when a customer adds Shape? Thank you.
Sukaran Mehta: Yeah. First, good question. So we don’t give this out Josh in terms of the breakout of individual products and attach rates, but you can expect that as part of learn Docebo Shape has a reasonably good attached rate as well as a reasonably good ARR dollars. And Docebo Shape, as you think about the differentiation in our model compared to the industry in offering tools is that we also go to market from a perspective of enabling social learning to all of the organization rather than having only a number of individuals that create that content, which is the administrators or the content authors. But what we do with Docebo Shape is empower the whole organization to utilize the – utilize shape and create content and be the champions of social learning. So that gives us higher – what effectively that means is that gives us higher tickets in terms of seats and licenses to our customers. And that’s also a differentiator, not only just the attach rate,
Claudio Erba: Yes. Sukaran, about Shape, something is happening and something is boiling, because I’ve seen such an interesting attachment rate that was not there two quarters ago. What we have and how to understand is how our learners are using and who are our – the trainers that are using Shape, because it’s not the classical trainer that creates the old school learning object are more users, trainers that are on the field and wanted to automate leveraging generative AI inside Shape. What I want to give them from a tool perspective – and sorry if I’m using old school words like tool, as a functional – as a feature perspective, is go beyond the standard reading as live to learn something, simulation, working on the globe work, pitching something to the AI and get AI feedback. This is where the industry is going. And this is where we are investing in Shape. That’s rate, the attachment rate is speaking on his own. When I’m seen the attachment rate this quarter, I’m saying, okay, this is happening after four years. We are in front of an inflection point, and I was happy at the end. We traveled four years to build a great product at the end of this paying.
Josh Baer: Thank you. Really appreciate it.
Operator: Thank you. Next question moving from Suthan Sukumar at Stifel. Please go ahead.
Suthan Sukumar: Good morning, gents. Just want to touch on the global expansion opportunity, last quarter you talked about encouraging traction in certain European markets, and you guys also highlighted a large deal that you closed this quarter in the region. Can you talk a little bit about what’s driving this momentum? And really what are your expectations for growth here over the near to midterm?
Alessio Artuffo: Sure. Our investments in Europe have happened over time. We started with our investments in the UK and Nordics, of course, after having the heritage where we had an office in the market in the southern region in Italy. More recently, as you’re aware, we invested in France and Benelux region as well as the most – very most recent investment in the Dachau, German office region. And we know, we have learned that it takes time for the brand to affirm itself in the regional markets that are fragmented. They buy slightly differently. There is a different language in the region. And so the shorter answer to your question is it’s a matter of execution in the field of bringing the brand to the top of minds of the buyers. And I believe that the logo that we have announced in the France region very significant organization is just the natural consequence of our investments in the region for quite some time now. Now we’re also noticing that Docebo is solving problems with the platform. There is multi-use case that in the European market, frankly, is solving the problems from more legacy competitors. And so, I think we have – we’re learning how to win from a more institutional install base. And these are starting to pay fruits not only in a small and medium market, which frankly with the majority of our wins in the European region, but we’re starting to see enterprise pipeline growth even in this region, and we’re very pleased with that.
Claudio Erba: Yes, and Ale on top of that, I mean, we have such an healthy balance and healthy KPIs that we can be ambitious on expanding abroad like we did with the German office and the Australian office, but we have learned with the French office and the UK office that start renting and becoming a prominent player in those countries, take a little bit of time, but at the end of the day, paid back. I mean, at the end of the day, the formative acquisition allowed us to land in France, boot put on the ground, sell and get great contracts. And this is what we are executing both in Australia and in Germany now.
Alessio Artuffo: We are looking forward to sharing more wins in the newer regions in the coming quarters.
Suthan Sukumar: Okay, great. Thank you for the feedback. My second question is on the partner channel. Can you guys share an update on the impact the partner channel had on the quarter? And what you’re seeing there in terms of pipeline of opportunities going forward?
Alessio Artuffo: Lots of exciting things. The partner channel is gaining momentum, momentum in the sense that we’re very active on all fronts of the alliances partner wheel ecosystem. On one end many organizations have demonstrated an interest and we have identified targets for integration opportunities with adjacent players in the form of ISV partnerships and forming a framework of mutual marketing. We have announced not too long ago a partnership with a services and software vendor called ELB. And from this partnership, we have been noticing very good outcomes and from the very early days because at the end of the day there’s an incredible opportunity in working with companies that have adjacent offering and it’s very nice catch and demand generation and value for our customers and process. So that’s one update. The other thing that I’m really pleased about is our current OEM partners. First of all, the ones that we are already working with have continued to perform in line and passed our expectation, which makes us very happy. And we believe that we have a very solid roster of candidate prospects of OEM and are looking forward to telling you more as we have the right to share so. Finally, I also want to share that we've been very active on the content side and we have initiated, and if you will evolve conversations that position us even stronger in our Docebo Content offering. We plan to continue to have growth from this module that has done really well for us, and based on our plans and increase the partner offering we plan to improve even more the penetration of that product in our install days. Overall this is valid for all partners I haven't mentioned what is very strategic for us, and we are very happy with is the partnership on the system integrator front. Whilst we don't have the right say names yet, because they're very stringent on that. We have a premier prospects and logos where we are teaming up with the significant system integrators. These teaming up motions are just the beginning of a long-term through deep partnership relations, and we are seeing that across the board from commercial enterprises throughout government opportunities. So the world of alliances has been incredibly active and we're very focused on it.
Suthan Sukumar: That's perfect. Thank you for taking my questions. I'll pass the line guys.
Operator: Thank you. Next question will be from Daniel Chan at TD Cowen. Please go ahead.
Daniel Chan: Thanks. Hi, good morning, Sukaran, last quarter you mentioned that the revenue guidance that you provide is driven by the ARR. So if we look at your Q2 revenue guidance, midpoint is looking for about 23% year-over-year growth, but ARR grew about 28%. So just wondering what's accounting for the difference? I know you called out professional services there, just wondering if there's anything else in there.
Sukaran Mehta: No, that's it, Dan. It's primarily professional services. We should still see in line, reasonably in line subscription revenue growth for the year. As you think about the number of units that they're coming through from a services perspective and also how we strategically invest in our customers as we onboard them, PS is really what's driving us is down predominantly.
Daniel Chan: Okay, thanks for that. And just given that we're halfway through Q2, just any changes to the overall market sentiment that you can call out?
Sukaran Mehta: Claudio, did you want to take that? Just overall market sentiment?
Claudio Erba: Sorry. Yes. Claudio speaking here. Actually we are seeing different trends depending on different segments and different regions. Europe incredibly well. We are incredibly excited about how the perform, how Europe performance, how solid are the team that they are selling in Europe and so on and so on. Europe, as you know, sometime is more resilient. They don't grow in moment of prosperity. They don't go down in moment of crisis and then European. So you ask a little bit more subject to volatility, especially in the commercial segment. On the large enterprise segment, we are seeing a flow of opportunities coming from other vendors, which is also one of the reason of the alliances with the bigger consulting firms. They want to shift from all the legacy vendors to the chip. Australia is probably is doing well in Q2. Yes, I mean, they are active. We are now in an exhibition in Singapore with partners. I don't want to provide any guidance about Australia, sorry. But when things do at, when good things happen, I'm excited. And then another thing that is an organizational change is, we are seeing our BDR lead generation increasing a lot compared to the inbound. And this is direct consequence on us moving up market, our market is not an inbound generation segment and it's more an outbound generation activity. And that's why we have also reorganized the team being more pushy on the outbound with the outbound initiatives. So, I think that on the mid long-term, we are excited to have a material business with a lot of initiatives, lot of new partners, lot of segments we are investing in, but this is a topic for the next quarter and some M&A opportunities on the table. Happy about that. That's it.
Daniel Chan: Thank you.
Operator: And your next question will be from Stephanie Price at CIBC. Please go ahead.
Stephanie Price: Hi, good morning. Docebo has very strong CAC, and I'm just curious around the, if you could give us some more details on the sales and marketing optimization, and how you think about affecting the CAC going forward?
Claudio Erba: Absolutely. Stephanie. Docebo, yes, has always had very good CAC metrics that are derived. I think primarily from an overall focus and cultural performance. You heard the talk about the desire to focus on creating efficiency. And as we grow that concept of efficiency, we want to maintain it. Having said that, we continue to monitor very carefully and closely our win rates. Certainly, the elongation of deals particularly in the Enterprise segment is not always beneficial to CAC of course. But at the same time, I want to stress out the concept that elongation has not been in addition to notable deal losses. And this is very important because the pipeline continues to grow and it’s actually been growing. Claudio has made a reference to outbound both quarter-over-quarter significantly as well as year-over-year. And so efficiency is a factor of bringing the deals at home and having good enough demand to serve our capable sales executives. And so on one end, we’re focused on doing everything possible to giving the right opportunities to the right sales people. And on the other end, feeding the funnel with the demand needed to maintain their efficiency. And so there’s a lot of work on that. I would also only add one more thing. We realized in this environment, in order to be more efficient, we need them to tell a story. During the sales cycle, there is a bit more return over investment focused. And so you’ve heard me talk about in the past our desire to implement value selling this initiative is well underway. So we are going to be able very, very, very shortly to approach particularly our need to large enterprise market with stories that are more value focused versus only feature focused. And so that makes us add another assumption to our thesis of efficiency. By doing all these things, our CAC will continue to improve over time.
Alessio Artuffo: Yes, and Claudio [ph] I want to add one thing about the CAC. CAC is also impacted by investment that you do in the sales organization and opening offices abroad to try to conquer the world. It’s impacting on CAC, but also is not paying back for a couple of years. If you want to look from another angle is we are so capital efficient that we can sacrifice some point of CAC to open new offices in tough moments because we are not approaching the markets only from the short term, which we can do it because we are efficient on the capital. But also in the long term, being strategic and try to cover market, which are big opportunities. Guys, sales force in Germany is selling 1 billion. So there are market that are incredibly appealing for us.
Stephanie Price: Thanks for the color. And then just for my second question, curious around the PeerBoard acquisition and how you think about folding it into Docebo and what it brings?
Claudio Erba: Yes. So as you know, PeerBoard, we are investing on external training, customer and partner communities. Partner community needs collaboration, and we see a lot to deal with Docebo customer community forum, start from a forum and then goes to learning. Collaboration between customer and partner is incredibly important because they help each other. So we found PeerBoard which was led by Mikhail – is led by Mikhail which was already plug and play – a plugin for LMSs that want to create the community. And we have acquired it because the implementation time is quick, but also Mikhail was the manager behind a big, big, big, big such a network community. So it created the group of a big, big social network. So the second step of this integration is improve or rebuild Docebo Coach & Share which is our social learning part, thanks to Mikhail knowledge and the technology of PeerBoard behind. So it’ll be done in two phases. Phase number one, let’s build the community for our customers that uses Docebo as customer community, customer training and partner training. And part number two, let’s rebuild the social learning part, Docebo Coach & Share together with Mikhail and PeerBoard.
Alessio Artuffo: And Stephanie, in addition to that, when we think of the customer makeup of Docebo of the 3,000 plus customers, we said in the past that more than 50% of our customers use Docebo for at least one external use case. And when you think about those that use Docebo for an external use case, the large majority of those, roughly 80%, Sukaran, keep me correct, are using it for the purpose of customer and partner education. Now, in that hundreds of customers cohort, the capability of a community technology is top of mind. We have found that’s the most requested capability. And finally, at Docebo, Claudio said it correctly, we have Docebo community under our initiative of the Docebo academy. And up until now, we’ve used the third-party vendor, frankly, because we didn’t have that capability. So we have experienced ourselves within our own customer education initiative. The need and the benefits for a community technology and the savings that have resulted out of it have made us want to own that technology. So now we have it. So now we can go to all those hundreds of customers and tell them that story, show them the product, and we can use it ourselves for our own use.
Stephanie Price: Thank you so much.
Operator: Thank you. Next question will be from Christian Sgro at Eight Capital. Please go ahead.
Christian Sgro: Hi, good morning. I wanted to ask a question about your longer term view on growth and profitability. I think you'd like to think of a business as a rule of 40 company approach approaching that software profile. So my question is, is a default way to think of the next couple years as a steadily expanding margin profile? Or will you see how a normalized environment looks before you make that growth versus profitability decision? What are your thoughts longer term?
Claudio Erba: Good morning, Christian. Sukaran, I'll take this one. Yes, I think that, listen, I think that when you think about Docebo we've always said growth is the number one primary factor of this organization, but we've always said the profitable growth is part of the story. As you look at the operating leverage that's also coming in the ecosystem for the last two quarters, what you'll very quickly realize is that we've not only hit that inflection point, but now you're seeing consistent operating leverage primarily coming out of some slight improvements in cost of good soul, but the majority of it is coming from our discipline in G&A and certain discipline that you will also continue to see in sales and marketing. And as you think about the current macroeconomic cycle, as we continue to invest in our future product roadmap in terms of R&D, as well as continue to invest in sales and marketing to drive that long-term growth, we can achieve good consistent growth even in a macro that's challenging, but deliver even better operating leverage. And that's just the beauty of being an 80% gross margin business as well. So I would – I would say that there's nothing really changing. All that we will see from us is consistent execution on growth, and we will do what's in our control to deliver good quality growth in this macro, and as we come out of this cycle, we will come out as true winners looking at the technology we have, the strength of our balance sheet and all the investments we're making in R&D. But at the same time we will deliver consistent EBITDA moving up and that's a very – and I'll leave it with this thought, that's a very straightforward math. If you look at my G&A as a percentage of revenue, we have been dropping that a percent every quarter, maybe slightly higher this quarter. And so that on a long-term basis should be in and around the 10% to 12% mark, and that's where you will see the biggest operating leverage in this year and next year.
Christian Sgro: Thank you. That's all very helpful. And my second question, I'll switch over both to the partner channel as well as your professional services work. Let's just refresh us, it's probably an active strategy to shift some of the work to partners, to system integrators. Do you see Docebo long-term at 90/10 subscription pro-services business or could that over time just continue to tilt more and more subscription as you scale, find more ways to offload some of that work?
Claudio Erba: Sure. No doubt in mind that maintaining a gross margin remains a focus for us. But our goal is to balance that with actually an approach that gives more value to our customers. What we have learned increasingly more and more every day is that organizations that learning projects particularly as it pertains to high end mid-market and enterprise. And for sure in the strategic enterprises, they need more services and more sophistication in the consulting aspect. Now, yes, we have leveraged partners and we will continue to do so. Services like for example, managed services are a continued request. We believe that in healthy mix of direct provisioning with some strategic partnerships, we mentioned the size before, are the right angle to accomplish this. Also, we look at services not only from a revenue split, whether it's 90/10 or 80/20, but also as a leading factor to maintaining high and positive growth retention because the reality is a learning platform is only as good as it is the strategy behind it. And when there is a not so strong strategy in the implementation, again particularly in the enterprise, it usually leads to a impact on the retention side. So yes, we believe a balance mix with partners will continue to exist but we believe there are more opportunities to offer value services that impact both revenue and retention.
Christian Sgro: Understood. Thanks for all the colors. I'll pass the line.
Claudio Erba: Thank you.
Operator: Next question will be from Gavin Fairweather at Cormark. Please go ahead.
Gavin Fairweather: Hey, good morning. Thanks for taking my question. Just on NDRR, I think you mentioned that it moderated a little bit this quarter. Can you just discuss kind of how the upsell environment is evolving and how you're tweaking your tactics to navigate that, and that's it for me? Thank you.
Alessio Artuffo: Sure. Regarding 100%, we are extremely focused on continuing, in a moment in which there is a pressure and everybody’s focused, especially in enterprise front is focused on consolidation. We are investing our resources, number one, to strengthen our opposition with customers and ensure that our renewals perform at the rate which we have. The top of priority really is maintaining healthy customer relationships. Number two is continue to expand the base. We expand the base in two ways by adding users, modules to existing customers, and by cross-selling. Cross-selling is an area that, as we were organized, in my opinion, we have not reaped enough benefits yet in, we’re very focused on changing that trend. So we are very, very focused on improving and there are numbers on the basis of this possibility alone. But for sure, Claudio spoke about our enthusiasm and shape, shape in addition to connect, in addition to Docebo Content, in addition to other things we will be doing thanks to peer board, give us the possibility to go back to the base and sell valuable additional modules. So all in all, acknowledging the moderate and we have the means to do more and we have plans to do so.
Sukaran Mehta: And I think the one just quick call out Gavin, is as we said, gross retention, I gave some other metrics on top of it, which gives you sense of gross retention was flat quarter-over-quarter. We continue to see 80% of our customers use Docebo for two or more of their problems, and almost 55% of our customers use Docebo for three or more of their use cases. So when you think about the problems and we solve for our customers, specifically revenue generating parts of their organization, we continue to expand or expand Docebo within the organization and solve more department’s problems. That creates us, as a much secure platform. 
Gavin Fairweather: Thanks so much.
Operator: Thank you. Next question will be from Martin Toner at ATB Capital Markets. Please go ahead.
Martin Toner: Thanks so much. Is the macro causing growth in the pipeline to slow? In addition to elongating sales cycle?
Alessio Artuffo: Martin we are seeing the pipeline remaining strong. For sure, there is – there are different ways that we are accomplishing growth in pipeline, as mentioned by Claudio before, our success right now is primarily derived from our outbound motion. That’s a result of our up move sorry – up market move primarily. Another thing that we’re doing to contrast what is, inbound channel being frothy is we’re investing again, finally, thank God the post-COVID in-person events. These are driving incredible outcomes. We were just last week sorry, a couple of weeks ago in the United Kingdom in London, actually, I was last week. As one of the largest learning events in the world, where we have collected an amount of leads than the history of that conference. We doubled it. So, I would say certainly we’re seeing a different dynamic in the demand world. And as a result of the different dynamic, we are approaching it in slightly different ways. We’re being very agile and using events and outbound as a growth mechanic. 
Claudio Erba: Yeah. But Ale, invent and outbound are the channel to drive need and large enterprise buyers that are not the buyers that click Google and ask for a demo. I mean as the, also they the move of the offering up market with sophisticated products like learn data like Docebo Connect, is the consequence of having a different composition of the pipeline that now is made more by mid enterprise and large enterprise deals than the previous, than commercial segment. Deals that, but it’s obvious physiological that when you are this kind of deals, the same cycles is elongating. So it’s also due to a new positioning of the table, which is communicating and working with different kind of customers, which is reflected by the ACB, which is growing.
Martin Toner: That’s great. Thanks so much. That’s all for me.
Operator: Thank you. And at this time, I would like to turn the call back to Mr. Erba. Please go ahead.
Claudio Erba: Thank you for being here again. I don’t remember how many earning calls we did already, but can be probably 16, 14. Thank you again and speaking one quarter. Thank you so much.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending and we do ask that you please disconnect your lines.